Company Representatives: Steve Kaniewski - President, Chief Executive Officer Mark Jaksich - Executive Vice President, Chief Financial Officer Tim Francis - Senior Vice President, Corporate Controller Renee Campbell - Director of Investor Relations, Corporate Communications
Operator: Greetings, and welcome to the Valmont Industries, Inc., First Quarter 2019 Earnings Call. [Operator Instructions]. As a reminder, this conference is being recorded.  It is now my pleasure to introduce your host, Renee Campbell, Director of Investor Relations and Corporate Communications. Thank you. You may begin. 
Renee Campbell: Thank you, Michelle. Good morning, and welcome to Valmont Industries First Quarter 2019 Earnings Call. With me today are Steve Kaniewski, President and Chief Executive Officer; Mark Jaksich, Executive Vice President and Chief Financial Officer; and Tim Francis, Senior Vice President and Corporate Controller.  This morning Steve will provide an update on the Midwest Flooding and a summary of our first quarter results and Mark will provide additional details on financial performance. A slide presentation will accompany today’s discussion and a link to access the document can be found on the home page of our website at www.valmont.com.  Please download the presentation to follow along with today's call. A replay will be available for the next seven days. Instructions for accessing the replay are included in the Press Release, which can also be found on our website.  Please note that this conference call is subject to our disclosure on forward-looking statements, which applies to today's discussion and will be read in full at the end of this call.  I would now like to turn the call over to our President and Chief Executive Officer, Steve Kaniewski. 
Steve Kaniewski : Thank you, Renee. Good morning everyone and thank you for joining us. Before I summarize our first quarter results, I'd like to briefly speak about the recent historical flooding event that impacted the Midwest U.S. region, which was the largest widespread natural disaster in Nebraska’s history. 76 out of 93 counties or more than 80% of the state had qualified for federal disaster aid from the flooding.  When we learned the floodwaters were approaching our Valley Nebraska manufacturing site on the morning of March 15, we made the decision to preemptively close the campus. This was to ensure the safety of our employees who are already on site and those traveling to work that morning.  By late that afternoon, flood waters had surrounded the campus making the roads and highways impassable. Our Structures facility in Columbus and our Coatings facility in West Point, Nebraska were also impacted, but with more minor effects.  We were fortunate our levee system on the Valley campus helped control the impacts of the flood. Interruptions to our business were minimized, enabling us to successfully reopen for production one week later.  We are very thankful that our employees across all the impacted facilities remain safe. I am extremely proud of our facilities and IT response teams, employees and service providers who work diligently around the clock to return Valley to full production.  Our ability to quickly resume operations is a testament to the strength of our operational excellence, which was key to ensuring the safety of our employees and minimizing disruptions to our customers. Mark will speak to the financial impacts from the flood later in the call.  Let me now turn to a recap of our first quarter and slide three of the presentation. Net sales of $692.1 million were down slightly compared to last year. Excluding foreign currency translation and its divestiture of the grinding media business revenues grew 4.2% despite the flood impacts. Sales growth was led by pricing actions across all segments and higher volumes in the Engineered Support Structures. As expected, lower project sales in International Irrigation Markets and lower volumes in the Utility Segment decreased sales.  Moving to the segment highlights, starting with Engineered Support Structures, first quarter sales were $230.3 million, an increase of 2.4% over last year. We continue to benefit from very strong order flow, particularly in North America markets, resulting in higher backlogs and improved pricing across all product lines.  Transportation market demand in North America remains solid and we continue to see extended industry lead times. Globally, robust demand for wireless communication structures and components led sales to increase 25% over last year, supported by increasing coverage demand and momentum for small cell structures in advance of 5G build outs. Our acquisition of Larson Camouflage was going well and is already contributing to positive results.  Larson leads the industry in providing architectural and camouflage concealment solutions for the wireless telecommunication market and integration is progressing very well. Plans to bring their solutions into global markets have already commenced, aligning with our strategy of geographic product expansion.  In the Utility Support Structures segment sales of $243.9 million increased more than 16%. Sales of solar tracker structures from our acquisition of Convert Italia this past year drove higher sales. Pricing actions also contributed to sales growth.  During the quarter we secured the largest purchase order on record. This project will replace a large aging 500-kv line of weathering steel with galvanized steel. We are partnering with our customer to provide a unique H-frame solution to enhance reliability in harsh weather environments. Revenue for this order is expected to commence in the third quarter of this year and extend into the first half of 2020.  In the Coatings segment sales of $86.8 million grew 2.2%, led by revenues from acquisitions completed over the past year and pricing across all regions. The integration of United Galvanizing in Houston, Texas is progressing well, furthering our strategy of geographic expansion.  Texas is an important market for our Structures business, so the acquisition will serve as internal demand, as well as a wide range of end markets for custom galvanizing and core coat applications.  Turning to the Irrigation Segment, global sales was $152.8 million or 18.7% below last year as expected. Lower international project sales in developing markets led to a tough comparison for the quarter and in North America sales of $108.5 million was only slightly below 2018. Average selling prices in North America were higher from previous and recent pricing actions.  Farmer sentiment has continued to be challenged by a low net farm income levels and adverse weather conditions, particularly in the traditional corn-belt and soybeans hit markets although we are seeing increasing support of underlying demand from other regions, such as California. I recently heard from four large growers there who confirmed the higher labor costs are driving a greater interest in mechanized irrigation and our advanced technology solutions.  International irrigation revenues of $44.3 million decrease 43.3% from last year. As mentioned during our fourth quarter call, we expected lower sales this quarter from a large project in 2018 that did not repeat.  The Brazil market has been trending as expected. AGRA Show, the largest farm show in the region will begin in a couple of weeks, giving us further confirmation of our expectations for the year.  I would like now to turn the call over to Mark for the financial review.
Mark Jaksich : Thank you Steve and good morning everyone. My comments regarding the first quarter of 2019 are based on comparisons to 2018 adjusted results as outlined at the end of the Press Release.  Turning to slide four, first quarter sales were slightly lower than 2018. Approximately $10 million of revenue shifted from the first quarter to the second and third quarters as a result of last month's Midwest flooding event impacting all of our segments except Utility.  First quarter operating income decreased 19.4% to $55.1 million or 8% of sales. Lower operating income was primarily driven by lower sales in Irrigation and Coatings segments, partially offset by improved profitability in the Utility and ESS segments and lower LIFO expense.  We also estimate the flooding event impact on the first quarter operating income was about $5.5 million due to shipment delays, as well as direct costs and productivity that was hampered as a result of the flood.  The net corporate SG&A expense increase was due entirely to $2.9 million and increased deferred compensation plan liabilities, which is offset by investment gains in the plan assets which is reported in the income statement Other Income. Accordingly there is no impact of this on net income.  First quarter diluted earnings per share of $1.66 decreased 11% compared to adjusted-EPS of a $1.87 in 2018. Without the impacts, the operations from the flooding event and associated expenses, we estimate earnings per share for the quarter would have been $1.84. We continue to assess the effect on inventory damage and additional cleanup costs. However, in told we expect no significant impact to full year results.  Turning now to segment operating income results on slide five, the Engineered Support Structure segment, operating income increased 17.9% over last year's adjusted results. Stronger backlogs and pricing actions across the segment, as well as benefits from last year's restructuring actions contributed to improved operating margins.  Excluding the $7 million of revenue and associated profits has shifted out of the first quarter due to flood; we estimate that segment operating margins would have increased approximately 200 basis points for 2018.  Turning to slide six, the Utility Support Structure segment, operating income increased 6.6% from first quarter 2018 despite unfavorable comps in the offshore wind business and projects sales in the first quarter of 2018 that did not reoccur, segment profitability increase due to pricing actions and strong operational improvements in North America.  In the Coating Segment on slide seven, operating income of $10.1 million was 14.4% below 2018 results. Pricing actions were offset by lower volumes due to winter weather affects in North American markets including the flood, as well as our non-recurring charge related to the legal expense accrual. Turning to the Irrigation Segment on slide eight, operating income decreased 40.7% compared to last year as expected. Results were impacted by significantly lower volumes in international markets, including approximately $20 million of project business that did not repeat this year. Operating margins held at 13.2% of sales. Effective pricing and our lead management processes during the quarter played a critical part in maintaining margin levels despite the lower volumes.  Turning to cash flow highlights on slide nine, we were encouraged by first quarter operating cash flows of $7.9 million, which included a $13.9 million contribution to the Delta Pension Plan that did not occur in 2018.  A $25.4 million increase in accounts receivable this quarter reflects higher sales in the second half of the quarter and was a reason for lower operating cash flows this year as other working capital movements were favorable versus Q1, 2018. Cash flows are trending favorably during the second quarter and remain firm in our commitment to free cash flow of 1x net earnings for 2019.  Turning to capital deployment, a summary of our accomplishments is shown on slide 10. Capital spending for the quarter was $21.1 million, driven by our previous mentioned plan expansions and the construction of galvanizing facility in Western Pennsylvania, all in support of market growth opportunities. We still expect full year capital spending to be between $90 million and $100 million.  During the quarter we deployed an aggregate of $80 million towards two acquisitions, including the final payment related to purchase of Walpar which was acquired in 2018. We returned $70 million of capital to shareholders through share repurchases and dividends and ending the quarter with just over $211 million of cash.  On the balance sheet, I would like to point out that we adopted the new leasing accounting standards in the first quarter of 2019. This resulted in an increase in other long term assets and other long term liabilities of approximately $100 million. Our adjusted tax rate for the quarter was 24.9%.  Let me now turn to slide 11 for an update on our 2019 outlook. We have increased the lower end of our expected earnings per share range and now expect full year diluted earnings per share to be between $8.30 and $8.90 from the prior range of $8.10 to $8.90.  Our outlook is based on expected strong sales, profitability growth and healthy backlogs in the Utility and ESS segments despite needed demand in the North American Irrigation market and uncertainty of international Irrigation project opportunities.  Our assumptions on revenue growth and operating margins remain unchanged. Foreign currency translation effects are also unchanged and we expect sales comparisons to be unfavorable by about $27 million or 1% sales, with an associate earnings per share effect of about $0.07 in comparison with 2018.  With that I will now turn the call back over to Steve. 
Steve Kaniewski: Thank you, Mark. Turning to slide 12, last month I had the opportunity to speak at two influential Ag Tech conferences in California; The World Agri-Tech Innovation Summit and the THRIVE Innovation Summit, both of which focus on advancing sustainable agriculture on a global basis and identifying the best models for successful technology commercialization on the farm.  At these two events, together with our Prospera partner and members of the Valley Irrigation Technology team, I shared our roadmap and longer term vision for integrating artificial intelligence with center pivot irrigation, providing true precision agriculture within an autonomous pivot on the field. The feedback and interest was very positive and supportive of our direction.  As expected, last week Valley Irrigation and Prospera launched anomaly detection. The first critical milestone on the path to autonomous crop management, granted as Valley insights powered by Prospera, the technology is a fundamental building block for growers entering into AI functionality.  Providing visual detection of anomalies or issues, the technology will mitigate risks in the field and is available for all brands of pivots through a subscription based model. Introduced as a limited release in two states, Washington and Nebraska the initial launch is targeting 90 growers and 1,000 pivots across approximately 140,000 acres, advancing us towards our goal of monitoring 1 million acres by 2020.  As mentioned last quarter, we have a new dedicated global team of technology, territory managers and sales associates who are focused on increasing adoption of our advanced technology solutions. Setting the foundation for this growth led to more expensive senses of our current technology landscape.  As a result of this review, we are excited to report that we are now leading the industry with over 84,000 connected devices globally, further demonstrating our technology leadership position in the market.  Our technology solutions continue to gain momentum, particularly in Brazil and other international markets. We look forward to updating you on the progress of our technology roadmap throughout the year.  Turning to slide 13, for the remainder of 2019 we remain positive on our sales and earnings outlook despite the challenging irrigation markets and look to build upon the current momentum within our businesses. We expect solid revenue growth in our infrastructure businesses, supported by growth of new products, acquisitions completed over the past year and strong underlying demand drivers.  In Irrigation market conditions in North America continue to be challenged and very recent geopolitical events in developing markets are impacting delivery of our international orders for 2019. However, the strength and performance in our infrastructure and Coatings businesses are expected to more than offset these effects during the year. As discussed at our Investor Day last year, new products are a key growth strategy and we will see the benefit in all segments in 2019.  In Engineered Support Structures smart pole and small cell solution demand will accelerate throughout the year. Global expansion of our decretive structures and architectural screening products and prefabricated bridge structures are also expected to grow.  In utility, controlled environment construction substations and concrete distribution polls are gaining momentum with hardening efforts and we are now Coating lighter structure solutions to our North America customers.  In Coatings we continue to deploy the Valmont Coatings Connector across all of our sites and customer feedback has been extremely favorable.  In Irrigation our Pumping Solutions and new advanced technologies are driving growth. Our efforts around operational excellence served us well during the first quarter, especially to our ability to utilize other U.S. facilities during the Valley shutdown.  Maximizing our flexible global footprint will be a critical go-forward initiative. As acquisitions and new product offerings gain momentum, we will be ramping up production across our footprint to meet this demand.  We remain highly committed to price discipline and price leadership within all of our segments in the markets we serve. Additionally we will continue to perform against our stated capital allocation goals while generating good cash flows.  I will now turn the call back over to Renee.
Renee Campbell : Thank you, Steve. At this time Michelle you may open up the call for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Craig Bibb with CJS Securities. Please proceed with your question. 
Craig Bibb: Hi guys. A good start to the year. The $31 million in acquisitions revenue at USS, it sounds like that was primarily Convert. I was wondering if you could break it out and with Convert, is that kind of a run rate number or is there a large order in there? 
Steve Kaniewski: Now the way you have to look at Convert Craig is that – and that is where the majority of that revenue is from. Convert would have – it's a very highly project based business in the global markets, so you'll see up and downs of Convert throughout the year, but if you recall we said it would have a high CAGR. The CAGR was 13% in that market and so we’re seeing that develop as we go throughout the year. So we'll have some ups and downs, but on a trend line basis, it should be very strong. 
Craig Bibb: Okay, and I'm assuming that North America, the regular USS business that’s driving the record backlog. How much of that reflects just you know strong demand versus gaining share or is it both? 
A - Steve Kaniewski: Yes, it's a combination of – well, it’s a couple of things. One is just improved pricing. Also project demand is good on a general basis, particularly as grid hardening and some of the line replacements are taking place and then also the effect of that very large order that we got, which would be north of $100 million shipping over the balance of the second half of this year and the first half of next year. 
Craig Bibb: Great, okay. I’ll let someone else go, thanks. 
Operator: Thank you. Our next question comes from the line of Nathan Jones with Stifel. Please proceed with your question. 
Nathan Jones: Good morning everyone. 
Steve Kaniewski: Hi Nathan.
Mark Jaksich: Hi Nathan.
Nathan Jones: But still I’d like to get a little bit more color on the guide. You took you know the bottom end of the guide up $0.20. I know when you put the original guidance out in February there was some uncertainty about some timing of certain things and it sounds like actually some of the negative side that has happened on some of the international irrigation projects. So maybe you could just give us a little color on you know what’s given you the confidence to take that bottom end of guidance up. 
Steve Kaniewski: Yeah, so when we look at our guidance for the year, we fully accounted for the fact that the North American irrigation market will be fairly soft for the balance of the year. That our international projects, some of which we expected to ship, some of those may not ship now based on recent events, but when you look at the real strength and ESS and utility, having the backlog in hand and knowing what we have sitting there is part of our confidence in what we are looking forward to that.  Additionally the pricing for our products, the environment has remained very strong as well. We have very strong demand for our comp structures and small cell components. We have a very strong traffic market. As we previously explained, there's 33 states that have passed their own funding mechanisms, so us and others are seeing very long lead times there.  And in utility there's just a number of announced projects and obviously that helps us too. That big project gives us clear visibility to both timing in terms of the releases and as well as the profitability associated with it. So we feel good about where our infrastructure businesses are performing and to add to it that our factory performance as compared to last year when we called out some drag, our factory performance has improved pretty significantly as well. 
Nathan Jones: Yeah, I think the ESS backlog up like 15% and USS up you know 25% plus probably gives a fair amount of confidence to that.  Just on the international irrigation projects there, I know you guys hadn’t anticipated having a pretty weak 1Q comp and then some pick up as we went through the year. You've talked about you know some of those projects moving a little bit. Maybe you could just give us a little bit more color on what's happened in the international irrigation project market and what the funnel of opportunities going forward looks like. 
A - Steve Kaniewski: Yeah, so we had expected first quarter to be down and then we would start to see a ramp second quarter to fourth quarter. There's been some recent events, particularly in Africa that lets say presented enough uncertainty to us that we felt we should call out the fact that those may or may not happen and include that into our guidance as we have said thus far.  There is still good projects around the world; it's just the timing of such that has made it pretty difficult. There's no change to the drivers; there's no change to the fact that there's a number of areas, whether that is Central Asia, the Middle East, Africa or even Eastern Europe where there's enough of targets out there to go after. So we feel good about our strength in those markets. It's just the timing of which right now that we’re a little bit hesitant to say that they are going to ship this year. 
Nathan Jones: Just for clarification, does your guidance then assume that those, you know let's call them at-risk projects don't happen or is there actually some downside to guidance in here if say all of them don't go. 
A - Steve Kaniewski: No, we took them fully into account and that if they don't go, it's included already in our guidance. 
Nathan Jones: Okay, perfect. Thanks very much. I’ll pass it on. 
Operator: Thank you. Our next question comes from the line of Brent Thielman with D.A. Davidson. Please proceed with your question.
Brent Thielman: Hey great, thanks. Good morning. 
A - Steve Kaniewski: Good morning, Brent. 
Brent Thielman: Steve, on utility, is this large order you know maybe a sign as things to come for larger projects and from a mix perspective should this include sort of larger structures and via that be sort of favorable to margins. 
A - Steve Kaniewski: You know, we are encouraged if there's this large project and it happens to be on very large structures too, but I don't think it fundamentally changed the underlying mix that we've seen over the past two years and what we've kind of projected going forward. There will be a few of these that come up from time to time and there will still be some large hardening of projects out there, but most of those will probably be on the lower voltage classes and thus the smaller structures.  So our efforts are still around being very efficient with smaller structures to our factories and not relying on these big orders, however when we get them like this it really should help us from the productivity perspective and then revenue and Op [ph] perspective. 
Brent Thielman: Got it, okay. And then on irrigation and I think particularly on the international side, as you think about this year, if this project business doesn't go, but Brazil ramps up like it looks like it could, is that enough to offset the lack of project business I guess elsewhere on the international side. 
A - Steve Kaniewski: No, I don't believe it would actually offset it. It will help to mitigate or claw back some of it, but it won't necessarily offset. So without those large projects it’s very hard to overcome and have a positive comparison. 
Brent Thielman: Okay, thank you. 
Steve Kaniewski: Thanks Brent. 
Operator: Thank you. Our next question comes from the line of Brian Drab with William Blair. Please proceed with your question.
Brian Drab: Hey, good morning. Thanks for taking my questions.
Steve Kaniewski: Good morning Brian.
Brian Drab: Just on the guidance, trying to parse out the impact from acquisitions, so is it fair to calculate or assume that revenue growth up 7% to 8%, that’s sort of still half and half acquisitions versus organic revenue growth. 
A - Steve Kaniewski: Yeah, Brian. I think what we called out for originally was about an equal split, you know roughly 3.5% to 4% for each depending on where we finished in the range. It still looks like that for the year. Again, some project lumpiness quarter-to-quarter, so the quarters numbers could look different, but for the year that's a safe bet. 
Brian Drab: Okay, got it. And then along the same lines, you know the operating margin improvement guidance of 20 to 50 basis points, would that be affected by the acquisitions positive or negatively. 
A - Steve Kaniewski: Well, we expect positive comparisons in the – when you look at the acquisition it’s all going to be accretive within 2019, but depending on the timing of which we did the acquisitions last year and this year, that would probably build throughout the year. So the lighter in the first quarter, second quarter building through the third and fourth. 
Brian Drab: So I guess I don't think I asked that question that clearly, but the acquisitions are coming in below or above the corporate average, like would your operating margin guidance actually be higher if you had not done the acquisitions or vice versa. 
Mark Jaksich: Yeah Brian, this is Mark. I don't think in the aggregate that would be the case, because one of the things you have to take into account when you do an acquisition, the amortization of intangibles, any write ups of those assets or there's going to be some additional trends running through the P&L. But I would say – in the aggregate I would say those businesses would be generating operating margins pretty much in line with the company as well, partially because of the non-cash expenses. 
Brian Drab: Okay and then just a last quick question is just on that large project, and I may have missed this, but the timing of that project and you know maybe the potential, could you talk specifically about the impact that could have on margins for the Utility Segment and in which periods you would expect the positive margin impact? 
Steve Kaniewski: Yeah, so we said that the order will start shipping in the third quarter and go through basically the second quarter of 2020. So it's kind of a half this year and half next year. It's part of our support for the guidance as we look forward and so the profitability is helpful in that regard and then there is potential for, you know potential follow on work there after if we perform well on this part of it.
Brian Drab: Okay, is that something that could be like a 50 basis points or more positive impact on the segment overall, is it that big or is that exaggerating it maybe? 
Mark Jaksich: Yeah Brian this is Mark. I think that's exaggerating a little bit, because if you think about for the sake of argument $100 million per project to be $50 million in revenue, it's relatively small percentage of the total segment revenues but certainly it does give us additional confidence around the guidance just because the orders in house. 
Brian Drab: Got it, okay. Thank you very much. 
Operator: Thank you [Operator Instructions] Our next question comes from the line of John Braatz with Kansas City Capital. Please proceed with your question. 
John Braatz: Good morning everyone. 
A - Steve Kaniewski: Good morning John. 
John Braatz: Steve, you're seeing spending on the 5G rollout. I guess my question is what can be the duration of that spending. How long can you benefit from that rollout? 
Steve Kaniewski: Yeah John, the spending we've seen thus far is really open on 4G to get the insurance coverage and to get ready for 5G, as well as some of the 5G components and structures. We anticipate that that could be a three to five year process overall, simply because you have regulatory permitting. Each city will have to come up with a plan on coverage because of the concentration of the cell structures that would have to be in place.  So we had predicted that the real ramp on 5G would occur later in the year little, we still believe that. A lot of what's going on now again is to the current infrastructure on 4G. So you know that is kind of the way we look at it from a long term outlook. If you look three to five years at least in North America you should start to see that build and continue over that duration.  In China and Australia, China if they do merge the two telecom cell companies then you'll start to see them probably ramp and that would be probably later in 2020, at least at this point and then countries thereafter I think are Germany, Japan, Korea, some of those markets we don't necessarily participated in.  So on a global basis, the one thing about 5G that's different than the previous generations is it seems to be more coordinated around the world and work coordinated among the carriers, where before one would move and it would still take some time for the other to move. Now its viewed as a competitive disadvantage as they don’t have announced plans around 5G. 
John Braatz: Okay, Steve have you – I don't know if you have, but have you ever discussed with us how big a piece of business the 4G, 5G revenues are as part of ESS? 
Steve Kaniewski: Well John, we don’t break it out based on 4G or 5G, but we have said that telecom sales are roughly north of $150 million, you know growing at a very good CAGR at this point. 
John Braatz: Okay, alright thank you. One last question, Mark there was a galvanizing accrual in the quarter. What was that about and how much was it?
Mark Jaksich: Well, at this point it is, check me, I’m not sure. Okay, its related to state statutory matter in California and due to the nature of it we can't talk about the exact amounts of it. 
John Braatz: Okay, alright, thank you. 
Operator: Thank you. Our next question is a follow-up from Brent Thielman with D.A. Davidson. Please proceed with your question. 
Brent Thielman: Great, thanks. Steve maybe one more on Utility, I talked about the large order. Could you touch on just sort of build in the latest tower backlog and the expectations for that business since you have acquired it? 
Steve Kaniewski: Yes, so we are finally finishing up all the regulatory certifications so that we can bid this to the U.S. and Canadian markets, but in the meantime we have been booking business related to telecom structures and utility structures in India and the Middle East.  So it's starting as expected. We said it would take time to ramp that almost like a Greenfield, but we're on track there and the galvanizing business that was attached to it is also doing very well. There's a lot of third party galvanizing work that we are able to pick up around that particular plant in India.  So you'll hear more, and we’ll discuss more as we go into the next quarters as to where some of that backlog is building, but we're now like as I said as a point to quote in North America itself. 
Brent Thielman: Okay, that's great. And then on Convert Italia as I recall it didn't have a U.S. presence. Just curious if you are making inroads there with Utilities and I guess how reception is going. 
Steve Kaniewski: Yeah, that is going very positively. There's a strong demand for the technology that we have as well as you know just having a vendor of support like us from a Valmont perspective. There is some specific testing that is taking place in the U.S. and that would be wind tunnel testing of the structures. If you think about hurricanes, tornadoes and Midwest winds, these are things that around the world, that you don't necessarily have. So we're still in the process of finishing those tests and we have built a U.S. solar team that is able to go in to the customers and to help to bid. So we are seeing strong demand and just shortly on the release of the product itself here in the U.S. 
Brent Thielman: Okay, thank you. 
Operator: Thank you. We have reached the end of our question-and-answer session. I would like to turn the call back over to Ms. Renee Campbell for any closing remark. 
Renee Campbell : Thank you for joining us today. As mentioned, today's call will be available for playback on our website or by phone for the next seven days. We look forward to speaking with you again next quarter. 
Operator: Included in this discussion are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on assumptions that management has made in light of experience in the industries in which Valmont operates, as well as management's perceptions of historical trends, current conditions, expected future developments and other factors believed to be appropriate under the circumstances.  As you listen to and consider these comments, you should understand that these statements are not guarantees of performance of results. They involve risks, uncertainties, some of which are beyond Valmont's control and assumptions.  Although management believes that these forward-looking statements are based on reasonable assumptions, you should be aware that many factors could affect Valmont's actual financial results and cause them to differ materially from those anticipated in the forward-looking statements.  These factors include among other things, risk factors described from time-to-time in Valmont's reports to Securities and Exchange Commission, as well as future economic and market circumstances, industry conditions, company performance and financial results, operating efficiencies, availability and price of raw material, availability and market acceptance of new products, product pricing, domestic and international competitive environments and actions and policy changes of domestic and foreign governments.  The company cautions that any forward-looking statement included in this discussion is made as of the date of this discussion and the company does not undertake to update any forward-looking statements. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.